Operator: Good morning, ladies and gentlemen. Welcome to the BCE Q2 2021 Results Conference Call. I would now like to turn the meeting over to Mr. Thane Fotopoulos. Please go ahead, Mr. Fotopoulos.
Thane Fotopoulos: Thank you, Justina, and good morning to everyone. Also joining me today as usual are Mirko Bibic, BCE's President and CEO, and our CFO, Glen LeBlanc. You can find all of our Q2 disclosure documents on the Investor Relations page of the bce.ca website, which we posted this morning. However, before we begin, I’ll draw your attention to our Safe Harbor statement reminding you that today’s slide presentation and remarks made during the call will include forward-looking information and therefore are subject to risks and uncertainties. Results could differ materially. We disclaim any obligation to update forward-looking statements except as required by law. Please refer to the company's publicly filed documents for more details on our assumptions and risks. On that, I'll hand it over to Mirko.
Mirko Bibic: Thank you Thane. Thank you Justina and good morning everyone. Q2 marked another quarter of great operational execution by the Bell team as we continue to deliver with sequential improvement in our consolidated operating results, with strong mobile phone subscriber loadings, and further acceleration in capital spending to forge ahead even more aggressively on our successful broadband strategy that drove 80% higher fibre Internet net customer adds this quarter. A year after COVID significant initial impacts in early 2020, total BCE revenue and adjusted EBITDA growth accelerated this quarter increasing by more than 6% over last year as we led all national wireless carriers in reported service revenue, adjusted EBITDA and ABPU growth. Of note, we've recovered 99% of our pre-pandemic wireless service revenues and our wireless adjusted EBITDA has fully recovered despite the lack of a recovery in high margin roaming revenue. It's an impressive result of the Bell Mobility team. Our results for Q2 included a $44 million regulatory charge related to the CRTC's recent decision to lower wholesale Internet rates even further to the benefit of resellers. Were it not for this one-time retroactive impact, total revenue and adjusted EBITDA would have increased 7.2% and 8.1% respectively. We leveraged our broadband networks and improved customer service tools to deliver 115,916 total mobile phone, mobile connected device, retail Internet and IPTV net subscriber additions in Q2, an increase of 75% over last year. Against the backdrop of continued government support for investment to drive the country's COVID recovery and propel Canada's global leadership in next-generation digital infrastructure, we stepped up capital spending in Q2, investing over $1.2 billion on new fibre and wireless home internet connections, further expanding mobile 5G coverage and augmenting network capacity to manage core IP traffic volume, which grew another 20% compared to last year when demand surged during the early stages of COVID. And our strong financial position with $5.3 billion in available liquidity at the end of Q2, bolstered by more than $1.2 billion of free cash flow generation this quarter, puts us in the leading position to execute on our upsized capital acceleration plan, wireless spectrum purchases, and BCE's higher common share dividend for 2020. I also want to highlight the recent launch of Bell for Better, and initiative that encapsulates our ESG strategy and provides a framework for all actions we are taking to create better outcomes for all stakeholders, including Canadian communities, employees, customers, as well as BCE shareholders and bondholders. With our broadband conductivity commitments from the smallest rural communities to the largest cities, investments in mental health initiatives, environmental sustainability, and an engage in diverse workplace, we're looking to create a thriving, prosperous, and more connected world for Canadians across the country. In terms of notable ESG developments this past quarter, we are adopting science based targets to reduce greenhouse gas emissions by 2030 in line with the Paris Climate Agreement, and we successfully completed an inaugural $500 million sustainability bond offering, the first ever for a North American telecom company. We will be using the proceeds to finance green and social investments with a focus on energy efficiency and affordable infrastructure projects. The offering was very popular with investors receiving total orders for more than six times the amount issued, which enabled us to price the issue at a lower cost of debt and for regular bonds. Let's turn to Slide 4 of our presentation for an update on our strategic priorities for 2021. We secured 30% of the 3.5 GHz spectrum available to national wireless carriers at the recently concluded auction for a price of $2.07 billion. This included an additional 30 MHz in each of the top three markets and an incremental 22 MHz in our rural wireless to the home markets. Together with existing holdings, Bell now possesses 37% or a weighted average of approximately 50 MHz of the total spectrum that was available to the incumbent national wireless carriers, acquired at an industry low average blended cost of $1.25 per MHz-POP. That said, given how the government designed the auction, it was the most expensive auction in Canadian history, a key factor that requires careful consideration and future assessments on our auction frameworks and on future assessments of wireless pricing by the government. With significant high capacity 3.5 GHz spectrum at our disposal, we have the midband spectrum necessary to drive the rollout of 5G across Canada and extend our leadership position. Since the beginning of the year we've launched service in more than 80 new markets nationally, including the first 5G service in Newfoundland and Labrador, introduced Canada's first 5G roaming for the U.S. and entered into new 5G strategic partnerships. Our 5G footprint coverage is now above 40% and remains on track to reach 70% of the Canadian population by year end. Success in 5G and IOT depends on a number of factors beyond just coverage. It's about delivering the fastest speeds and lowest latency. Leveraging network points of presence such as central offices for multi-axis edge computing that support product development, and establishing deep relationships with the biggest Canadian companies. And whichever element you look at, Bell is the industry leader. We lead in speed offering the fasted data speeds of up to 1.7 gigabits per second and consistently win third-party speed test awards, including most recently from Ookla who ranked Bell 5G as Canada's fastest. We lead in latency owing to our deep fibre deployment now at 94% of Bell Mobility's cell sites fibre, as well as our ability to bring computing power, processing and storage to the edge of the network closer to the customer. We lead in network points of presence with over 2,700 locations across our Wireline footprint. Our MEC partnership with Amazon Web Services and our strategic technology partnership with Google Cloud will integrate their technology with Bell 5G to move data processing to the networks edge, thereby minimizing latency and powering 5G use cases such as immersive gaming, [indiscernible] video streaming, smart manufacturing, AI and distance learning. By combining all those ingredients, we can deliver the superior functionality that will allow developers to design apps and next-generation solutions and IoT services that leverage the best 5G network in Canada, and that's how we intend to take a leading share of 5G services and capture the sizable revenue growth opportunities beyond mere network connectivity. And we are already beginning to do that as you saw with innovative applications such as TSN and RDS 5G View. Now over to Wireline, in the first six months of the year, we have equipped 347,000 homes and businesses with either direct fibre or fixed wireless Internet technology and also launched wireless home Internet service in Manitoba this past June. This progress, together with another 257,000 locations that are currently under construction, keep us on track to deliver between 850,000 and 900,000 new premises by year end. And at a time when network connectivity is more important than ever, as we all know, Bell once again was recognized by PC Mag in their annual study as the fastest ISP in four provinces. It's a testament to the significant investments we are making and the hard work we have in the field and our networks. Moving to Slide 5 for an overview of some key operating metrics for Q2. Let's start again with wireless. The clear highlight of the quarter was Bell's 5.8% service revenue growth, which led all national peers, delivering and industry best 3.3% increase in ABPU. Again, an excellent result representing our first quarter of growth since Q3 of 2019 when unlimited data plans were first introduced in Canada. This strong rebound reflects our focus on higher value smartphone loadings, including a growing base of customers on device financing plans and the lapping of COVID related pressures from roaming, data overage and the waiving of certain fees to support customers during the crisis. Although retail traffic and store capacities were impacted by the third wave of COVID, overall customer activity went up. We added more than 44,000 new net mobile posting home subs this quarter up 45,000 compared to last year. This result was driven by 35% increase in gross activations, reflecting higher direct and digital channel sales volumes that balanced ongoing retail store restrictions, as well as pent-up customer demand. And our mobile phone churn remained well below 1% at 0.83% for postpaid, a strong performance that reflects our improving digital capabilities and leading networks. For connected devices we realized 47,000 net adds, a year-over-year increase of 22%, driven by continuing strong demand for Bell's IoT solutions. In fact we added 74,000 new IoT subscriptions, up 2.5 times over last year. And similar to the previous few quarters, prepaid net adds of 2000 were impacted by lower market activity attributable to reduced retail store traffic and a slowdown in immigration and international travel, of course because of COVID. Let's move to Wireline. We're showing again that our fibre strategy is working. We added more than 27,000 new net retail fibre customers, which is an increase of 80% versus last year. At approximately 1.9 million, residential fibre customers now represent over 50% of our total retail Internet customer base. Taking into account the competitive loss of legacy DSL subscribers and Bell's non-fibre footprint, we delivered 18,000 total retail Internet net adds this quarter. This compares well to last year when we experienced a surge in demand as COVID restrictions were put in place. Our growing base of five [ph] customers combined with higher revenue per user driven by speed upgrades and an improving tier mix, given fibre superior experience drove a majority of the 12% year-over-year increase in residential internet revenue this quarter. This consistently strong revenue growth quarter-after-quarter, together with the benefits we see in terms of market share gains, customer lifetime value and lower operating costs, are the reasons why we're pushing hard on the accelerated expansion of our broadband footprint. In TV, we continue to leverage our multiple brand strategy to drive 5000 IPTV net additions this quarter and that's up 8000 from Q2 of last year. Satellite net customer losses improved 21% to 9000 and that represents the seventh consecutive quarter of year-over-year improvement, and home phone customer net losses remained essentially stable, at just around 50,000. So, all-in-all a very solid quarter of Wireline subscriber results in what is typically a seasonally slow quarter. I'll now turn to Bell Media. The first notable highlight for Bell Media is advertiser demand, which rebounded across all our media platforms this quarter. However a more robust recovery, particularly for radio and out-of-home was muted by the Pandemic's third wave. TV advertising was up 70%, reflecting stronger bookings due to the return of live sports and TV productions. This helped TSN and RDS maintain their number one sports channel rankings for the current broadcast year-to-date and for CTV to achieve a milestone 20th year as Canada's most watched network. In Quebec, Noovo also made further gains in viewership versus its French language competitors with year-to-date audiences up 10% that drove a two-point increase in market share. More notably, at our Virtual Upfront Presentation in June, we unveiled our fall programming line-up with the most programming inventory in five years for CTV and more than 70 original productions planned. This was our most successful up-front season ever with bookings 19% ahead of our previous forward sales record in 2019 and more than double last year, a very encouraging result that bodes well for the upcoming broadcast year. The second highlight of the quarter for Bell media was a strong growth in our digital platforms, demonstrating that our strategic pivot to a digital first media company is bearing fruit. Digital revenues increased an impressive 57% and now represent 19% of total Bell Media revenue and that's up from 16% last year. Underpinning the standout performance was growth in Crave and TSN Direct streaming subscribers. Crave subs increased 6% over last year and is now approaching the 3 million mark, while TSN Direct more than doubled its subscriber base, thanks in part to the Euro-Cup, where the final game was one of the most watched broadcasts of the year and TSN’s biggest live streaming audience ever. We also continue to scale CTV.ca, our all-in-one digital video streaming app, which has now become the top AVOD platform in the country. And Bell Media’s innovative SAM TV sales tool, that connects advertisers and other marketers with the right audiences on the right media platforms, has more than tripled its 2020 sales revenue in the first six months of 2021. And on that, I'll hand the call over to Glen, for a more detailed review of our financials.
Glen LeBlanc: Thank you, Mirko and good morning everyone. I'll begin on Slide 7. As Mirko said, exceptional financial performance this quarter with strong consolidated revenue and EBITDA growth acceleration as we lapped the significant COVID impacts from Q2 of last year. Normalizing for the $44 million regulatory impact referenced earlier, total revenue was up 7.2%, while EBITDA increased 8.1%. Standout results driven by year-over-year increases at all Bell operating segments, even though wireless roaming, media advertising and business wireline revenues have yet to return to pre-COVID levels. Net earnings were up significantly, increasing 150% year-over-year on strong flow through of higher EBITDA, lowered non-cash media asset impairment charges, as well as higher other income largely from net mark-to-market gains on our equity derivative hedge contracts. Despite the sharp increase in earnings, free cash flow was down 23% compared to last year. The decline was expected and the result of higher planned spending under our two-year Capital Investment Acceleration Program that saw a further step-up in CapEx this quarter, more than $1.2 billion. Let's turn to Slide 8, Bell Wireless service revenue was up a very healthy 5.8%, representing the first quarter of year-over-year growth since the start of the pandemic. This strong result reflects our strategic focus on high value smartphone activations and the associated economic benefits in terms of lifetime value and EBITDA growth, as well as the non-recurrence of certain COVID related impacts from last year. Although the recovery in roaming was marginal this quarter as travel restrictions remained in place and borders closed, it is no longer causing a year-over-year drag on financial results. Product revenue was up 27.7%, reflecting increased customer transaction volumes, a greater mix of premium mobile phones, and improved year-over-year consumer electronics sales at the source driven by the reopening of retail stores. Due to the flow-through of significantly higher year-over-year revenues, wireless EBITDA returned to positive growth this year, increasing a very impressive 10.1%. Moving to Slide 9, our Wireline financial results this quarter included a $44 million regulatory charge. Excluding for the one-time impact, we delivered service revenue growth of 0.6% and 4.5% higher EBITDA, which drove a 1.9 point margin increase to 43.9. This margin improvement is essentially equal in magnitude due to the decline we experienced in Q2 of last year, when we absorbed significant incremental costs because of COVID. Residential led the way growing revenue by a healthy 3.6% on the back of continued strong fibre customer and ARPU growth that contributed another 12% quarterly increase in internet revenue. However, business wireline was softer given the surge in customer demand we experienced at the start of COVID crisis last year for things like conferencing services, voice connectivity, as Canadian businesses enacted a work from home policy for their employees. Product revenue, which can be lumpy, also decreased year-over-year, due to the timing of data equipment sales to the government sector. Although overall telecom spending by large enterprise customers continues to be impacted by COVID, business services solutions revenue grew approximately 3% year-over-year, a very positive indicator for when economic recovery takes hold more fully. Over to Bell Media on Slide 10, strong year-over-year rebound marked by higher customer spending across all advertising platforms, and continued excellent digital growth that generated revenue growth of 30.4% and 23.7% higher EBITDA. Advertising revenue grew 65% year-over-year, reflecting stronger advertiser bookings driven by the reopening of the economy, the return of live sports, and more original TV programming compared to last year. Subscriber revenue was up 6.2% on strong Crave and TSN Direct streaming growth, as Mirko detailed earlier. Consistent with the year-over-year increase in revenue, operating costs were up 33%. This was due to higher programming and production costs, reflecting the return to live sports and airing of original TV productions, as well as the non-recurrence of CEWS funding received in Q2 of last year. Slide 11 provides you with a high level walk down of the main components of adjusted EPS, which was $0.83 per share this quarter, up $0.20 compared to last year. Even with a $0.4 per share hit from the wholesale internet regulatory decision, EBITDA growth drove 60% of the year-over-year increase in adjusted EPS, while decreased financing costs, higher tax adjustments, and lower other expense essentially accounted for the balance. Let's turn to Slide 12 on free cash flow. As I mentioned earlier, we generated $1.25 billion of free cash flow in the quarter, a very respectable result even with $300 million year-over-year step up in CapEx and reduced cash from working capital due mainly to higher accounts receivable from stronger sales activity as the COVID recovery strengthens. This quarter's results also reflected higher severance pay due to a workforce reduction undertaken earlier this year, and higher cash taxes due to the delayed tax installment payments last year, because of the government COVID relief measures. As for our balance sheet, we ended the quarter with $5.3 billion of available liquidity, which provides us ample cash resources to execute on our upsized capital acceleration plan and to fund the recent acquisition of highly valued 3.5 gigahertz wireless spectrum. Pro forma this spectrum investment our net debt leverage ratio remains manageable, and the lowest among Canadian direct peers at approximately 3.1 times adjusted EBITDA. To conclude on Slide 13, industry fundamentals remain sound. Commercial activity is improving as the economy rebounds from this pandemic and BCE's competitive position as is good as ever, if not better, strengthened by a rapidly growing broadband fibre footprint, substantial mid band wireless spectrum holdings that reinforce Bell's 5G industry leadership, and market leading media assets that are poised to capture a significant opportunity emerging in digital advertising. With two quarters of strong consolidated growth already reported, we remain firmly on track to deliver on the financial guidance targets that we provided in February for the full year 2021. On that, I will turn the call back over to Thane and the operator to begin the Q&A portion of the call.
Thane Fotopoulos: Thanks Glen. So before we start the Q&A period, I'm sensitive to time we have left, so I will please ask that you limit yourselves to one question and one brief follow up, so we can get to everybody in the queue with the time we have left. So with that, Justina, we're ready to take our first question.
Operator: Thank you. First question is from Vince Valentini from TD Securities. Please go ahead.
Vince Valentini: Thanks very much. I guess, I should ask about ARPU from first stab, I mean that's just a tremendous result on wireless service revenue growth. Can you help us unpack it a bit more? I mean, you said roaming was not a year-over-year drag, I assume it wasn't a tailwind either and then the other components of it is there a bit of overage, coming back temporarily, is there some benefit from lower equipment subsidies, or just sort of solid improvement in the mix of your subscribers over the past year flowing through, if you can help us out with that it would be great?
Mirko Bibic: Thank you, Vince. I'll kick it off on that one, but I will start with first principles really, and when you we have a clearly defined strategy in each product segment, obviously in this case we're talking about wireless and you're kind of disciplined, you execute with a lot of discipline against that strategy, you're going to get the results. So if you kind of, let's now with that context it would have been, what have we been doing for the past two years or a year and a half, we focused on quality mobile phone loadings. And so you know the numbers we shared with you in terms of net adds, they're all mobile phones and all high quality. We've benefited from a strong brand mix. We're managing the data over, it's just like we have from the moment that unlimited plans were launched in the Canadian marketplace in 2019. So we're managing the base like we always have and that overage decline is at the same levels as we've shared with you in the past. Our prepaid ARPU has been quite strong, particularly for Lucky and that's why you see those impressive results that you mentioned Vince is, basically we're not chasing loadings for the sake of chasing loadings, and we're not after low churn for the sake of low churn. We really want to hit that sweet spot between ARPU nets and the financial results we deliver for shareholders.
Glen LeBlanc: Just to add to Mirko, on roaming Vince you asked, you said it's no longer a headwind. No, it's not. We actually saw modest improvement in the roaming. I told you previous quarters that since the pandemic roaming is down roughly $60 million a quarter, and we saw approximately $5 million improvement in that, so very modest, but like all of us, we remain hopeful and optimistic that the second half of the year is going to see borders opening and Canadians moving and we expect that to start a steady improvement.
Vince Valentini: And Glen just on the equipment installment plans and the delayed impact of that IFRS 15 accounting, is that something is starting to be meaningful within these service revenue numbers or still not?
Glen LeBlanc: I'm not sure I 100% understood the question Vince.
Vince Valentini: Well, so if you have, if you lower equipment subsidy by $200 on average, some of that gets booked up front, under IFRS 15 and some of it gets amortized over the 24 months. So it effectively flows through as higher service revenue over time. So as that's been building in the pipeline for the past year and a half is it starting to become a tailwind to ARPU?
Glen LeBlanc: At this point, it's a modest tailwind. I would not say that it's something that's having significant impact, and I guess that speaks to itself when you see 3.3% growth in the quarter Vince, so I apologize for not understanding the first part of your question, but small tailwind, not overly problematic as at this point Vince.
Vince Valentini: Thanks.
Glen LeBlanc: Thank you, Vince.
Operator: Thank you. Next question is from Aravinda Galappatthige from Canaccord Genuity, please go ahead.
Aravinda Galappatthige: Good morning. Thanks for taking my question. I wanted to focus on B2B, obviously you are having good numbers on the wireline residential front, so sort of the trajectory on B2B would tell us a bit about the outlook for wireline. Mirko, can you just talk also about the various components within B2B that for lack of a better word, could have a potential for structural growth, as you think of sort of a post pandemic backdrop, and how you sort of see the next couple of quarters shape out when you consider the movements in equipment sales as well? Thank you.
Mirko Bibic: Thank you, Aravinda. So look on the Enterprise side, so I'll start with indicating obvious, but the Enterprise segment is lapping a very tough comp for Q2 2020 when there was very high demand at the beginning of the of the pandemic for voice, video and bandwidth services. So we are lapping a very good Q2 2020 in that regard. What we're seeing in the next couple of quarters, Q3 to Q4 quarters based on what we're seeing right now is some enterprise solution revenue is coming back, it's improving. So that's a good sign for us as the economy reopens, because we're well positioned to capture the rebound in solutions revenue and professional managed services revenue on top of connectivity revenue, like I said as the economy reopens. And if you look further out, you asked, I think you said, kind of structural opportunities or structural revenue opportunities going forward. As you look to a world of converged fibre and 5G, I mean I could repeat what I said in my opening comments, but in a world of converged fibre and 5G where we lead in terms of the best networks and we have the distribution strength, I think there's a lot of structural growth opportunity in 5G, in IoT, in multi-access edge computing MEC revenues and we're positioning ourselves now to capture that growth.
Aravinda Galappatthige: Thank you. And a really quick follow up, perhaps for Glen. I think in the past you have kind of given what the residential growth number was, not really if you disclosed at this time, just wanted to check? Thank you.
Glen LeBlanc: So, yes the residential growth is 12% of revenue, yes I had said that in my opening remarks, so yes very pleased Aravinda.
Aravinda Galappatthige: Yes, internet, internet. Yes, I know, I meant the whole residential wireline.
Glen LeBlanc: I think, I said that in my opening remarks, just checking my notes here, I think it's 3.6% I said was the growth for total residential.
Aravinda Galappatthige: Okay, sorry, I missed that.
Glen LeBlanc: The internet, it was also what we mentioned.
Thane Fotopoulos: Thanks Aravinda.
Aravinda Galappatthige: Thank you.
Operator: Thank you. Our next question is from Jeff Fan from Scotia Bank. Please go ahead.
Jeff Fan: Thank you. Good morning. Just first is a clarification just on the wireless service revenue and ARPU. In your opening remarks Mirko, I think you highlighted IoT unit growth being very strong. I'm just wondering, is that contributing revenue to the service revenue line, because we're not really counting that for ARPU in our calculation, just wondering if there's a service revenue component that's starting to pick up on the IoT front that we should start to talk about or pay attention to? And then more strategically, I think we all know like you're accelerating your investment, which is obviously the right thing to do given the environment that we're in. And then, but from a competitive perspective, I'm just wondering, are there anything that you can share with us given a couple of your peers and competitors are involved in potential deal makings? Are there areas that you think you can focus on given some of the uncertainty in the structure of the market operationally to maybe accelerate some of those efforts? Thanks.
Glen LeBlanc: I'll start off with your question on IoT, very small at this point Jeff. It's really not an impactor in the service revenue growth or the ARPU. That said, you know that is something we're excited about and think it could be a true contributor for the future, but extremely small. And on the strategic point, I'll take it back to Mirko.
Mirko Bibic: So on a strategic point Jeff, again it's kind of building off of what I said in my opening remarks. Our strategy right now is focused on putting in place the components to be leading in the structural growth that we see coming forward as I mentioned to Aravinda. So it's about expanding the 5G network coverage and having the best 5G network planning and forging ahead aggressively on fibre, building the IoT platforms is going to allow our enterprise customers to manage their IoT needs on top of the Bell network using our platform. And of course, as you saw strategically we entered into two quite strategic agreements, one with AWS and the other with Google Cloud, which is going to put us in the lead position in terms of innovation in the space.
Jeff Fan: Thank you.
Operator: Thank you. Our next question is from Drew McReynolds from RBC. Please go ahead.
Drew McReynolds: Yes, thanks very much. Good morning. Thanks for taking the question. Mirko, just following up on a bunch of questions on 5G, B2B, IoT, can you just speak to the demand side of this? And obviously BCE is the biggest enterprise player by a wide margin in Canada, so presumably gives you a little bit of a leg up in terms of seeing how your enterprise customers want to evolve in terms of use cases. The specific question is, how faster accelerating are these conversations in terms of moving real B2B IoT use cases forward? And then second question just on Bell Media. Just fabulous kind of strategic and tactical execution I think at Bell Media is not just obviously this quarter, but last few years, what kind of longer term growth and margin profile should investors expect from this segment, obviously not looking for specific guidance just more goalpost. Thank you.
Mirko Bibic: Okay, so I'll take the second one first Drew, and thanks for the two questions. On the Bell Media side, I mean as you look forward in terms of growth and margin expansion, TV, I'll start first with kind of the near term and kind of the traditional business we've been in which TV advertising is starting to come back, you saw it reflected in results and in my comments. As businesses get back to the office in some manner, shape or form in the months to come, that's going to bode well for radio advertising and out-of-home advertising coming back. So, I feel good about that in the quarters ahead and they take up kind of a wider lens to the question. I think our digital first pivot is where the real growth is going to come and it's really exciting. And the team is really executing on that as well, because just grabbing a bigger share of digital advertising spend speaks to a lot of potential growth in the quarters and the years to come for Bell Media, because we're well positioned with the content and with the digital assets, and we're building kind of the platforms for advertisers for one-stop shopping, so really excited about that. On the first question Drew, I think in terms of when customer demand and when revenue streams will come, so to speak, it depends on the segment you're talking about, it is hard to predict when the growth will really hit and you kind of have to unpack it. So, subject to Glen's caveat and his answer to Jeff's question on IoT revenues, IoT we are generating revenues today and that's going to scale and I think that's going to scale most quickly, and potentially most rapidly in the near term. On MEC revenue, I mean we're just in the early, very early innings of that. We're getting ourselves set up. And then we kind of have to go hunt for the revenue once you're set up for that. On 5G broadband and fixed, I am sorry in fibre broadband needs of our customers in a converged world, of course, and we've been doing that for decades, for a century. Our networks are being revolutionized in terms of the step up in the technology, so we're obviously hunting that revenue in a meaningful way today, and as we have more 5G and as we have deeper fibre penetration into enterprise markets, that's just going to continue to grow.
Drew McReynolds: Thanks very much.
Operator: Thank you. Our next question is from Simon Flannery from Morgan Stanley. Please go ahead.
Simon Flannery: Thank you. Good morning. Glen, I noted your comments about the balance sheet with the leverage being the lowest of the peer group. I was just wondering how you're thinking about the leverage over the cycle of the CapEx plans. We've got C-band auctions in 18 months, how are you thinking about where that's going to go over the next few quarters and how that plays into the dividend model and the payout ratio for the dividend as well, and if you've had any discussions with the rating agency since the auction? Thanks.
Glen LeBlanc: Good morning, Simon and thanks for your question. Firstly, over the last year we've been very opportunistically refinancing our debt. And we've actually increased our average maturity tenure from 11.8 years, a year ago to 12.7 now. We've also reduced our after-tax cost of debt from 299 to 289. So managing our outstanding debt extremely well by taking advantage of this low interest rate environment. Low interest rate environment gives me comfort of where we sit with leverage. Our balance sheet is strong, and our leverage as I said earlier this morning is below our peers. We no longer have free cash flow headwind from our pension plans, and frankly, we feel there's no better use of excess free cash flow than investing in fibre and 5G infrastructure, including spectrum. These investments will deliver the free cash flow growth in the future that will support our dividend growth model. So I remain comfortable with where we're at. We believe we're doing the right thing with our excess free cash flow. As you know, and I've said many times before, we have regular and frequent contact with the rating agencies. We have open dialogue, and I remain confident in the investment grade credit rating that we hold today and the actions that we're taking to support the future dividend growth model.
Simon Flannery: Great, thanks a lot.
Glen LeBlanc: Thank you, Simon.
Operator: Thank you. Our next question is from Jerome DuBrey from [indiscernible]. Please go ahead.
Unidentified Analyst: Yes, good morning. Thanks for taking my question. Just since some areas are back to almost normal and with the reopening happening, what are the top learning's about the reopening you've made so far, especially on the B2B front, are reopeners, like restaurants taking plans that are similar to what they used to take pre-COVID? And then a quick follow up, one of your peers discussed that the fibre rollout provided opportunities for real estate optimization. Would that also be the case for BCE? Thanks.
Glen LeBlanc: Good morning, Jerome. I'll just make a couple of comments before Mirko jumps in. The small business side of our business has been impacted quite substantially as you could appreciate. This pandemic has probably hurt small business owners more than anyone, and Mirko said something on our last call, he said it was better than we feared not as good as we hoped. I guess that's where it kind of remains. We've seen disconnects of small businesses as unfortunately many small businesses didn't survive this, but as we start to come out of this, we're starting to see new formations of businesses, although it's limited at this time. We're excited to see an acceleration of businesses that I guess new formations of businesses and the services that they're taking, or many of the small businesses cut back on the services they had. They're ramping up to the same type of service offerings they had historically. So it's a segment of the business that we really feel for, but frankly, there is a light at the end of the tunnel and we're starting to see the activations to pick up in that segment for us. And Mirko?
Mirko Bibic: Yes, thank you Glen. So Jerome on the fibre part of the question, so I'll start with this, for us the real estate that we own and that we have, that's inextricably tied to our networks is very strategic. So I mean, it's a way of saying that when I consider our fibre strategy and kind of the top things that I want to make sure we deliver with the fibre strategy. What I'm seeing and what I'm focused on is penetration growing, it's ARPU growing, it's lifetime value improving, it's churn being significantly lower and it's 40% lower annual service and support costs for our customers, per customer for fibre versus copper. Like those are the things where we're looking and of course to deliver the revenue EBITDA growth. So kind of real estate savings link directly to fibre penetration or fibre expansion isn't kind of like a top list of things we are looking to do. Now of course we have kind of a cost reduction program in place that we look at very carefully, but it's not in respect of real estate that's fundamentally tied to our network.
Unidentified Analyst: Thank you.
Operator: Thank you. The next question is from Satya Satapathy from JP Morgan. Please go ahead.
Satya Satapathy: Hi, thanks for taking the question. I think about, just some clarification and follow up questions, I think in the prepared remarks Mirko you noted that 50% of your residential customer base is now fibre-to-the-home. Would it be possible to get a view on maybe where that was one year and two years ago? And then just sticking with fibre, if you could provide us, yes maybe just what you're seeing in the market in not only the new expansion territories, but as well in some of the older perhaps cohorts for lack of a better term in terms of just overall fibre penetration and haw you see the competitive environment progressing today?
Mirko Bibic: Yes, so on the first part of the question in terms of where we were at on total fibre EOP a year ago and two years ago, I think Thane will have to follow up with you, I don't have that on my fingertips. What we're seeing, tremendous growth in net adds where we have fibre footprint. You saw that the expanding growth in Q2 of this year, year-over-year I think 80%, and then you also I call out the total retail Internet net adds of 18,000. And so, there is some competitive pressure, there is some consumer and competitor pressure where we don't have fibre and its customers wanting to get the highest quality network wherever they are and if there happens to be a competitor that has gigabit speeds and we have like a C copper DSL, that is going to have a competitive impact for us, which speaks to the importance of us continuing to accelerate the fibre build out, the importance of participating in government subsidy programs across the country in our operating footprints. I mean it is good for those communities and it's good for us too and therefore it's good for our shareholders. So I think that's what you are kind of seeing on the competitive puts and takes fibre versus DSL footprint. Now, I am answering in that context is is also our wireless home internet footprint where we continue to grow the network and are continuing to grow share in those markets as well, I have to mention that.
Satya Satapathy: Okay and just to follow up on the wireless loading, any update you can perhaps give us here 3Q, obviously huge retail presence among our peers in terms your wireless retail locations? So, what are you seeing and anything in terms of the pickup in activity there as well, obviously, you've been quite successful in Digital and Direct channels of late, so any update on loading and particularly as it pertains to perhaps the retail portion, as well? Thanks, again.
Mirko Bibic: Yes, thanks for that, thanks for asking that one. We've improved our Digital and Direct capabilities massively over the last year and we're going to continue to maintain our momentum in that regard so, you know that kind of accept that. And then as stores have fully reopened for Q3, I think our natural distribution advantage in that regard is going to swing back our way and it's going to allow us to scale loadings. So, and then you've got other factors to play that we can take advantage of like back to school, back to office, pent up demand and we're also expecting some prepaid improvement, so I think things bode well for Q3.
Satya Satapathy: Thanks guys.
Operator: Thank you. The next question is from David Barden from Bank of America, please go ahead.
David Barden: Hey guys, thanks for taking the question. So, I guess, if we look back a year ago the big worry was regulatory, obviously this first half we’ve kind of gotten some clarity on wholesale, broadband, on MVNOs and we had a little time to see where those conclusions are leading. If you could kind of give us a little colour on how your relationship with the wholesalers is evolving in light of the ruling regarding CRTC’s rate setting? And then if you've been approached or to the degree you're being approached on facility centric, that would that be an interesting data point. And then the second question would be; just now that you know you were unable to coordinate around the 3.5 auction, now that it's done and you can kind of look at the lay of the land, with respect to the network share and relationship you have would tell us like, what is your happiness level with how things shook out like on a scale of 0 to 10. That would be kind of interesting to know. Thank you.
Mirko Bibic: Yes, and always we're very, very pleased with the network sharing agreement and how it's delivered over the years which is what more than 12 years now, and I'm hopeful that our partner feels the same way. I'm not going to speak for them. So, I'll leave the network sharing issue there, quite happy with it and I think it allows us to build higher quality networks faster and with more capital efficiency, so that's really good. On the regulatory environment like we've -- I've been saying for years and years and years, like it's pretty simple right? You get positive regulatory decisions or I don't mean positive development, I mean positive toward conducive to investment. You'll get more investment and you get regulatory and public policy decisions that create disincentives for investment, that's what's going to happen. And so we were really pleased to be able to upsize even more our Capital Acceleration Program in the face of the -- following the two regulatory decisions you speak of. And I think in terms of just general relationship with government, if you think of what their objectives are, quality, we're delivering on it, access we're delivering on it, in terms of we can talk about access in terms of price. Prices are going down. And coverage, well we're certainly delivering on it and they're stepping up as well with subsidy programs and we are a strong partner of theirs in that regard. So, I think we're in the right space there and the competitive relationship, the competitive relationships and the relationships in terms of supply a customer with resellers or potential MVNOs, I'm not going to comment on that here, David I hope for reasons you can appreciate.
David Barden: Understood, thank you guys.
Operator: Thank you. And the next question is from Jeff Fan from Scotiabank. Please go ahead.
Jeff Fan: Thank you for squeezing me in for a quick follow up. On ARPU performance, I just wanted to may be dig a little bit into that because of the differences between you and your peers. Were there any geographical differences and trends that you saw in ARPU, particularly what you saw in Quebec versus Ontario or versus Western Canada where Shaw has been participating, and may be in Manitoba? Just wanted to get a sense as to where there might be some more strength and where there may be some more weakness, wondering if mix is factoring into the performance between you and your peers? Thanks a lot.
Glen Leblanc: Good morning, Vince. I’ll make a couple of comments here. Excuse me Jeff, I will make a couple of comments here. Yes, mix does play a role in this, and yes, there's always geographical differences that occur in any given quarter as competitive intensity can ebb and flow. One thing that Mirko mentioned Jeff was that our focus on high value broadband adds. And as you know we're not focusing on low ARPU, things like tablets that really drag your ARPU down and we've really moved away from that, and I think that that is having an impact on some others and their impact on their ability to grow ARPU. The other thing that, Jeff both sides of just ARPU that I will draw your attention to and just as the quality of earnings, and it's difficult and I said a very impressive 10.2% growth in our earnings this quarter, and it is impressive, but it’s hard to really to look at comparables and growth rates when you're coming off 2020 that was so impacted by this pandemic; particularly, Q2. So one thing that we spend a lot of energy and focusing here is looking at pre-COVID earnings and where are we, and the fact that in Q2 of 2021 we're now back to 99% of the service revenue we had in Q2 of 2019. We're at 100% of the EBITDA we were at 2019, yet we're still roughly $60 million down in roaming. I mean, I think that speaks to how well our wireless team has executed over this past 24 months and it comes from focusing on the right loads and the high value smartphones. And I think if you looked at the industry, you would see that those numbers I just quoted for how well we've performed over the last 24 months of pre-COVID would be industry leading.
Mirko Bibic: A couple of quick things, just to add to that. So on mix, so there's the geographic mix and there they are of course as you know pricing differences by geography, but we maintain the same strategy in all the regions. Our execution may differ slightly in some regions, but the strategy remained the same. It's basically building off of Glen's answer. And then the other aspect of mix is brand mix and we put a sharp focus on that too and it's paying dividends.
Jeff Fan: Great, thank you.
Mirko Bibic: Thank you, Jeff.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting back to Mr. Fotopoulos.
Thane Fotopoulos: Thank you, Justina. So I want to thank everybody today for their participation on the call. As usual, I'll be available throughout the day for any follow ups and clarifications on that. Have a good rest of the day and take care.
Mirko Bibic: Thanks everyone.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.